Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Greetings, and welcome to the PetVivo Holdings Third Quarter 2022 Financial Results Conference Call. My name is John Dolan, the Chief Business Development Officer and General Counsel at PetVivo. Today's call is being webcast and will be posted on the company's website through playback. 00:24 Before we would begin, I would like to remind everyone that comments made during this conference call by PetVivo executives may contain forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. 00:41 Any statement that refers to expectations projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. 00:52 PetVivo’s actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. PetVivo assumes no obligation to update any such forward-looking statements. 01:08 PetVivo filed its 10-Q and earnings release with the SEC today, which provided a detailed discussion of our financial results, both of these documents can be found in the SEC website and the Investor Relations section of our website. 01:24 I would now like to turn the conference over to John Lai, the CEO and President of PetVivo. John, please go ahead.
John Lai: 01:31 Thank you, John. I like to welcome everyone to our call. Joining me today will be Robert Folkes, our CFO. I would like to begin by discussing highlights from the last quarter then turn it over to Bob Folkes for a more detailed discussion on the financials, financial conditions in greater detail. 01:54 I will conclude by sharing some additional thoughts on the business strategy, key focus areas and the second half of fiscal 2022 before we open it up to questions. Some of the key highlights for the last quarter was we did generate 51,000 in revenues for the sale of Spryng. And we launched officially in September of 2021. 02:25 The introduction of Spryng really occurred at the American Association of Equine Practitioners in December of 2022. It was at the end of the first week or the beginning of the second week of December. And then we also added Dr. Joe Manning, as a Senior Equine Veterinary Specialist to our team. Joe has many years of experience in the equine space, in veterinary medicine development, and FDA work. 03:03 Also a branding initiative with regards to Spryng was launched and updated and we are updating our website. We have a Spryng with OsteoCushion website along with the PetVivo website and we will be driving viewership and interest to both of those sites. 03:27 [We have] [ph] updated sales material, as well as attending many more conferences coming up. We just got back, actually it's still going from Snowmass, Colorado, which is an Orthopedic [indiscernible] and conference. 03:45 I would now like to turn the call over to Robert Folkes, our CFO who will discuss recently completed registered offering, as well as our financial conditions.
Robert Folkes: 03:58 Thank you, John, and good afternoon, everyone. The most significant event from last quarter was that the company began generating revenue from the sales of Spryng, with revenues of approximately $51,000 in our first full quarter of sales. 04:13 On our balance sheet we had a cash and cash equivalents of approximately $7,554,000 at end to December. And we have approximately $105,000 of inventory built up to support the sales lines of Spryng. 04:32 We continue to use the remaining net proceeds from our initial public offering to expand our sales and marketing efforts, again [indiscernible] acceptance and increased revenues from the sales of Spryng as John had kind of detailed previously. 04:47 So, with that, now I will turn it back over to John.
John Lai: 04:52 Thank you, Bob. So, I would like to talk in more detail regarding the business strategy and key focus areas from the last quarter. We're in the process of generating data to support marketing for Equine and small animals. 05:13 The Colorado State study is moving, but it's moving slow because of COVID, but we did move forward and engage couple of private practices or private research groups that will be able to give us data much quicker. 05:31 So, we anticipate data coming out related to Equine, probably within the next quarter, as well as small animals, dogs, and so on within the next two quarters. We're hiring additional sales individuals for territorial managers. 05:53 Year-end had completed as the year-end had completed many of these sales people that we have been talking to are in the process of receiving their year-end cash bonuses, and as they are receiving, we have offered – made offer letters and we anticipate in the next 45 days to 50 days having 2 to perhaps 3 regional territorial sales managers in the field with us. 06:23 We will be exhibiting at many conferences and branding and key support launches of Spryng through TV commercial, billboards, as well as supporting white papers and other types of KOL, as well as actual veterinary doctors that have used a product, they are really helping us spread the word. 06:54 So, with that from the AAEP Conference, we ship the initial products. And we're pretty happy with the feedback we're getting with the vets that got the product and we're seeing repeat orders from those vets. 07:13 Right now, I'll just turn it over to see if there's any questions and be happy to answer questions. Operator, can you take charge, please?
Operator: 07:24 No problem. [Operator Instructions] I don't see anyone at this time raising your hand.
John Lai: 07:53 Well, let's give it another minute. If not, I'll just go into give a closing comment, and what I'm looking at going forward for the second half of 2022 or actually the last quarter of 2022.
Operator: 08:14 It looks like we still have no questions at this time.
John Lai: 08:45 Okay. Why don't I just take over and conclude closing comments here. So, we – in the past I talked about the revenue mix of being Equine first, a much higher percentage and then the small animals, and we are seeing that way. 09:06 As well as from the conference, we picked up some very good influential Equine vets throughout the United States and those vets have been using the product. We're getting very good feedback about the disruptiveness of the product, and we're getting repeat orders from them, as well as they're helping and helping spread the word. 09:33 So, we believe we will see fruit from those activities. And as we move forward, we'll have the supporting data from the studies, from the private organizations, much faster than Colorado State that will help us further attract small animal vets to use the product. The whole key here that we're seeing is once a vet uses the product, we're getting very favorable feedbacks and we're seeing a conversion of those vets of using our product as part of the treatment relative to what they're currently using. So, with that, I think going forward, we're very comfortable with us executing the plans and falling in place with the disruptiveness of this product. 10:26 And with that being said, I want to thank everyone for joining us on the call. And I don't believe I see any questions because I think they still could ask questions. We will formally conclude the conference call.